Operator: Thank you for standing by, and welcome to the Allstate's Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, today's program is being recorded. And now I'd like to introduce your host for today's program, Allister Gobin, Head of Investor Relations. Please go ahead, sir.
Allister Gobin: Good morning, everyone. Welcome to Allstate's Second Quarter 2025 Earnings Call. Yesterday, following close of the market, we issued our news release and investor supplement, filed our 10-Q and posted related material on our website at allstateinvestors.com. Today, our management team will share perspective on our strategy and how Allstate is creating shareholder value. Then we will open up the line for your questions. As noted on the first slide of the presentation, our discussion will include non-GAAP measures for which there are reconciliations that are provided in the news release and investor supplement. We will also make forward-looking statements about Allstate's operations. Actual results may differ materially from those statements, so please refer to our 2024 10-K and other public filings for more information on potential risks. And now I'll turn it over to Tom.
Thomas Joseph Wilson: Good morning. Thank you for investing time in Allstate. We'll start with second quarter results and Allstate's strategy to create shareholder value. Then we'll have time to address your questions. So let's start with Slide 2. So Allstate's strategy has two components that's shown on the left, Increase personal property-liability market share and expand protection provided to customers. On the top right is an overview of second quarter results. Revenues were $16.6 billion in the second quarter, that's 5.8% increase compared to the second quarter of 2024. Total policies in force increased $208 million, it's 4.2% over the prior year, that's being led by Allstate Protection Plans. Personal property-liability policies in force increased by 0.8 point. Net income was $2.1 billion and adjusted net income was $1.6 billion or $5.94 per diluted share. Adjusted net income return on equity was 28.6% over the trailing 12 months. And we create shareholder value by delivering excellent operating results, as you see up top, growing the personal property-liability business through the transformative growth strategy, expanding protection services and proactively investing our $77 billion portfolio. So let's go through those three points, starting on Slide 3. Transformative Growth has 5 phases, and we're now [indiscernible] in Phase 4 with progress in each of the five subcomponents. New Allstate branded auto insurance products, which are more affordable, simple and connected are being implemented. The new auto insurance product is available in 40 states, and we're rolling out the same type of product for homeowners and we're in 16 states now. New products are also available in the independent agent channel in 34 states, expanding our risk appetite from National General's strong nonstandard auto risk position. Underwriting expenses have been reduced, supporting more competitive pricing while maintaining margins. Increased sophistication of pricing plans and marketing programs have helped increase new business through expanded distribution. Claims processes have been enhanced following the pandemic-related inflation, which is helping us control claims severity. And then our new technology systems have been deployed, which position us to leverage advanced computing and large language models. Customer access has also been significantly expanded, as you can see in the middle of the slide. New business has almost doubled 5 years ago, reaching 10.8 million policies over the last 12 months. This is the broadest distribution platform in the industry with new business spread almost evenly between Allstate agents, independent agents and directly through call centers or over the web, as you can see from that first set of pie charts on the left. Total policies in force have increased to $37.7 million, reflecting the highly successful acquisition of National General and rapid growth in direct sales. The Property-Liability business is a terrific business with $56 billion of annual earned premiums and excellent underwriting results. Turning to Slide 4. Protection Services, while smaller, is still a really significant business with 170 million policies in force, $3.2 billion of revenue and $0.25 billion of income over the last 12 months. It's comprised of five businesses: Protection Plans, Auto Dealer protection options, Roadside assistance, Arity and Identity Protection. Revenues were $867 million in the quarter, which generated $60 million of income, most of which is from Protection Plans, which is described in the bottom section of the slide. Protection Plan sells protection for consumer electronics, mobile devices, appliances and furniture. This protection is basically embedded in the sales processes of a broad group of exceptional distribution partners. Revenues increased by 16.6% over the prior year quarter reflecting rapid growth in appliance protection over the last several years and success in expanding internationally. Adjusted net income was $51 million due to higher revenue, moderating claims and support costs and operational efficiencies. Each of the Protection Services business has their own success story. Arity, for example, has 2 trillion miles of driving data, is now expanding its services to insurance companies and making inroads into mobility intelligence. Turning to Slide 5. Shareholder values also created by proactively managing the $77 billion investment portfolio is really an integrated component of our enterprise risk and return decision-making. Investment income was $754 million in the quarter, representing a total return of 1.4% for the quarter and 5.4% for the last 12 months. This diversified portfolio of fixed income and growth assets leverages top investment talent to deliver top quartile performance as shown in the table on the right. The largest part of the portfolio is in fixed income securities, which provides consistent cash flow and high liquidity. Our strong credit skills and active management generated first and second quartile performance. We reduced the public equity holdings in the second quarter given the increased risk of inflation due to the new trade policies. As the impact of this becomes clear, we'll adjust that position. We also have strong results in the performance-based portfolio of private equity and real estate investments, which is a combination of fund participation, co-investments and direct transactions. The higher returns on these investments is more than attractive despite the greater variability in reported income. Now I'll pass it over to Mario.
Mario Rizzo: Thanks, Tom. Let's take a look at second quarter Property-Liability results on Slide 6. The Property-Liability business delivered strong results, generating nearly $1.3 billion of underwriting income this quarter as average premium increases exceeded moderating costs. The combined ratio of 91.1% was a 10-point improvement from the prior year quarter, driven by improved underlying trends and $376 million in favorable prior year non-catastrophe reserve reestimates. Shifting to Auto Insurance on the top right, the combined ratio was 86% in the quarter, a 9.9 point improvement from the second quarter of 2024 due to improved frequency and moderating severity trends. Over the past several quarters, we've seen the favorable impacts of our comprehensive auto insurance profit improvement plan in our financial results. Our auto book of business is now broadly profitable, including in previously profit challenged markets like California, New York and New Jersey, and we are focused on investing in profitably growing auto market share. Homeowners results are shown in the bottom right graph. Underlying margins remained strong in the homeowners business with an underlying combined ratio of 58.6, but were offset by $1.6 billion in catastrophe losses, leading to a combined ratio of 102 in the quarter. While quarter-to-quarter results can be volatile in the homeowners business due to catastrophe losses, we continue to have strong conviction around our ability to grow homeowners and generate excellent long-term returns on capital as demonstrated by a combined ratio of approximately 92% over the past 10 years. Allstate's homeowner capabilities represent a competitive advantage in the industry. Turning to Slide 7. Let's discuss growth trends in the Property-Liability business. In the chart to the left, you can see the composition of Allstate's 37.9 million Property-Liability policies in force with growth results for the quarter shown at the bottom of the chart. Auto insurance with 25.2 million policies in force, shown in dark blue, accounts for 2/3 of total property liability policies and year-over- year growth turned positive during the quarter, ending the second quarter at plus 0.5% above prior year. The homeowners business accounts for approximately 20% or 7.6 million property-liability policies and continued to grow in the second quarter, increasing 2.3% relative to the prior year quarter. To the right, we provide more detail for auto and homeowners insurance growth rates by brand. We underwrite auto and homeowners insurance business through Allstate agents and direct-to- consumer using the Allstate brand. For higher-risk direct channel customers, we also use the Direct Auto brand, which we acquired with National General. We provide those same products in the independent agent channel using the National General brand. Collectively, these represent what we call our active brands in market. Auto policies in force in active brands increased 2.4% compared to the prior year quarter. Allstate brand policies in force were negatively impacted by declines in New York and New Jersey, where we continue to focus on profit improvement as our primary operating objective. Approval of pending requests for our new Affordable, Simple and Connected auto insurance products in these states would open these markets for growth as margins have improved significantly over the course of 2025. Excluding New York and New Jersey, Allstate brand increased over the prior year quarter. National General and Direct Auto continued to grow at 11.3% and 22.8%, respectively, reflecting our strong capabilities in the nonstandard auto insurance market in both the direct and independent agency channels. As part of transformative growth, we decided to sunset the Esurance brand and use the Allstate brand in both the exclusive agent and direct channels. And as the new National General Custom360 product is rolled out across states, we discontinue offering Encompass policies for new business. The continued decline in policies in force in these two inactive brands has created a drag on auto and homeowners insurance growth rates. In homeowners insurance, we continue to see steady growth in policies in force in the Allstate brand as Allstate agents continue to bundle at historically high rates, and we delivered strong new business growth in the direct channel. Moving to Slide 8. Let's dive deeper into how expanded distribution generated a 21% increase in personal property-liability new business in the second quarter. Auto insurance new business in the middle of the chart increased by 24.8% over the prior year quarter and was distributed almost evenly across distribution channels. New business was strong across all three channels as Allstate agents were more productive and both the direct and independent agent channels continued to deliver strong new business growth. Homeowners insurance new business growth was driven by the exclusive agent and direct distribution channels. Independent agent production declined as we focused on rate adequacy across a number of states, but we expect to resume homeowners expansion plans in rate adequate markets going forward in this channel. While new business growth is encouraging, retention remains an essential focus to accelerate and sustain growth. We continue to execute our SAVE program to show Allstate customers' value every day. Employees and Allstate agents are working to improve 25 million customer interactions this year, including proactively reaching out to customers to ensure that they have the right protection at the most affordable price. This program is designed to deliver an industry- leading customer experience while enhancing affordability for our customers. We will continue to execute our transformative growth strategy and make investments in expanded distribution, pricing sophistication, marketing and technology, all focused on delivering sustainable and profitable market share growth. Now I'll turn it over to Jesse.
Jesse Edward Merten: Thank you, Mario. Let's move to Slide 9 for an overview of how Allstate's capital management strategy creates shareholder value. Strong earnings resulted in an adjusted net income return on equity of 28.6% for the latest 12 months. We completed the divestitures of the Employee Voluntary Benefits business on April 1 and the Group Health business on July 1 for a combined $3.25 billion. That represented a 25 times multiple of the latest 12-month earnings for those businesses. The transactions position the businesses for success and allow us to reallocate capital to Allstate's strategic growth opportunities. We continue to return capital to shareholders through share repurchases and dividends. In the past year, Allstate paid $1.1 billion of common and preferred shareholder dividends. Earlier this year, the quarterly common stock dividend was increased 9% to $1 per share. We've also returned cash to shareholders by repurchasing $445 million of common stock in connection with the $1.5 billion share repurchase authorization we announced in February of this year. Let's wrap up on Slide 10. Allstate delivered excellent financial results in the second quarter. We're serving our growing customer base of 208 million policies in force with broad protection offerings under an exceptional brand with extensive distribution. Transformative growth execution is positioning Allstate for profitable personal property liability growth. Protection Services segment led by Allstate Protection Plans continues to grow rapidly and broaden Allstate's customer base. A proactive approach to managing the investment portfolio is aligned with enterprise risk and return objectives and sound capital management will continue to deliver value for shareholders. Allstate remains committed to executing our strategy and is well positioned to grow property-liability market share, expand protection for customers and deliver value for our shareholders. With that, let's open up the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Jimmy Miller from JPMorgan.
Jamminder Singh Bhullar: I had a couple of questions. First, just on PIF growth. Can you talk about the sort of potential tailwinds and headwinds for growth? I would assume that the inactive brands are going to continue to decline, although the impact of that on your overall results should diminish over the next few quarters? And then it seems like at some point, you'll be in a growth mode in New York, New Jersey. Overall, you're not raising prices as much as you were. But just talk about sort of what the headwinds, tailwinds are to growth in personal auto PIF so that one gets a better idea on where it's headed from the level in the last couple of quarters -- a couple of months.
Thomas Joseph Wilson: Jimmy, let me start with the growth one, a little higher level, and then I'll ask Mario to go into Auto. So first, why do you want growth? You want growth because we're earning a 28% return on equity. And they said you can grow, you can deploy capital and then your PE goes up. And then you're like, okay, what kind of growth do you want? In the personal Property-Liability business, we obviously have had huge growth in revenues. And that translates into not just higher absolute dollar earnings per share, but it also translates into higher investment income, which you can see because the investment portfolio goes up. And then, of course, you also want to have PIF growth, as you point out. And there's PIF growth in homeowners, you see has been terrific, particularly when you take out the inactive brands. And then Mario will talk about what we're doing in auto insurance. But we are completely committed to growth and believe that transformative growth is working today, and we'll continue to build momentum there. Then you can go a little broader and say, well, how are we doing on growth in protection services. And you can see that's been a terrific growth story as well. So we have a variety of ways that we're focused on continuing to leverage our capital. Mario, do you want to jump into auto insurance?
Mario Rizzo: Yes. Thanks for the question, Jimmy. So maybe I'll start with the inactive brand comment you made, which is spot on. As the business in those brands -- because we're not writing any new business in those brands, continues to decline, we would expect the rate of decline to diminish going forward. So I think you're exactly right on that one. Then maybe I'll jump to the tailwinds. And I think Tom touched them all when he talked about transformative growth. I think all the components of transformative growth whether it's the new product offering with Affordable, Simple, Connected Custom360 in the IA channel, new technology, higher and more sophisticated marketing, our broad distribution capabilities, the improvements in competitive position, all the components of transformative growth have created tailwinds for us that are really generating significant amounts of new business, and we're going to continue to leverage and build on those capabilities going forward. And then I'll end with New York and New Jersey. The punchline in those two states is, we're now generating an underwriting profit, both in New York and New Jersey. We've been working closely with the two insurance departments over the last several years to get our rates to an adequate level, and we feel confident that we're at a point where we are rate adequate given the rates we've received approval for, including upcoming rates in New York that are going to be effective in August. So we feel good about the positioning. The last domino that we need to fall is we've made filings for our new Affordable, Simple and Connected Auto product in both of those states. As soon as we get regulatory approval, we think we can broaden our risk aperture a bit in those states and look to lean in and start to grow in those. So we're optimistic that, that will happen here in the second half of the year.
Jamminder Singh Bhullar: Okay. And then how do you think about the lifetime profitability of the business that you're putting on an independent agency and direct versus the captive business, which obviously wasn't growing in the past, but was highly profitable. So I think last year, there are concerns you weren't growing. Now there are concerns you're making too much money and maybe the profitability of the newer growth isn't as great. But just talk about like sort of the margin profile of independent agency and direct that you're writing versus captive agents.
Thomas Joseph Wilson: Jimmy, I'll start and then Mario might want to jump in as well. So everything we write, we write lifetime value. We have a very sophisticated analytical system, which looks at marketing costs, distribution expenses, lifetime value, not just by channel, but by risk level, by expected retention. And so we feel really good about lifetime value. We have a really good clean book.
Operator: Our next question comes from the line of Gregory Peters from Raymond James.
Charles Gregory Peters: So, I guess, the first question, I'll focus on frequency and technology. Can you talk a little bit about the frequency trends? And one of the things that seems to be popping up more and more is the embedded technology and accident avoidance technology that's specifically going into cars and the longer-term consequences of autonomous driving. And just curious for your updated views on that.
Thomas Joseph Wilson: Let me start and then Mario, maybe you can jump into current results on frequency if that makes sense. So first, on autonomous driving, I think 15 years ago or 14 years ago, we did some scenario planning on autonomous driving and said what impact will it have on auto insurance. And the conclusions we came to then are still pretty much applicable today. It was that there is an engineering issue to be solved, but then there's also an economic issue to be solved. I believe the -- John Dugenske and I were just out of Waymo, I believe the engineering problem has been solved and that the economic issue is still in front of it. Let's call it, 280 million cars in the United States that have a value of over $4 trillion. And if you want to fix the whole system, you got to turn over that whole fleet. It will happen over time. Those economic barriers will come down. But in the meantime, what we've seen is what we thought would happen, which is that frequency kind of gradually comes down as that fleet turns over. But the cost of repairing cars goes up as those cars get more expensive when side view mirrors are worth $1,000 now instead of $200 because they got those little flashers on them. So you've seen that play out. We think that will be a continued trend. That's one of the reasons why we are leaning in heavily into Arity in telematics, which is as cars get connected, not only will it change how often they get into an accident and how much it costs to fix that, but it will help improve the overall efficiency of their personal transportation system. And while we don't talk much about it from a strategy standpoint, we believe that we've got great optionality with Arity to leverage it to that. Mario, do you want to talk about current frequency because Greg might be also like just current results.
Mario Rizzo: Yes. Sure. Thanks, Greg, for the question. So look, I think broadly on frequency, what we and the industry have experienced really over the last, call it, 6 quarters or so is kind of the continuation of maybe the trend prior to COVID of this downward trend in auto frequency. Obviously, there was a lot of noise during COVID and post-COVID as driving behavior shifted around quite a bit. But we're seeing favorable frequency, and it's driven by the kinds of things Tom talked about from a technology perspective, whether it's blind spot monitoring, lane departure warnings, other advanced safety features that are in vehicles that I think are showing up in improved auto frequency for the industry. The other data point I'd use is as we look at our Arity telematics data over the last year or so, we've seen miles per operator drop around 3% or so, which is likely also contributing to favorability in frequency. But favorable frequency is certainly a component of the loss cost trend that we've seen. And you saw in the supplement, pure premium is down almost 3% year-over-year. That's mainly favorable frequency kind of partially offset with higher severity and -- particularly in the injury coverages, but favorable frequency trends that have persisted over a long period of time.
Charles Gregory Peters: I'm going to pivot for my follow-up question to the reinsurance program. You put up some details on how the reinsurance structure has changed this year. And you didn't really talk about it during your prepared remarks, but probably worth covering, it looks like you have more limit this year versus last year. Maybe you can just walk us through some of the decisions and how the program looks this year versus last year.
Thomas Joseph Wilson: I'll let Jesse go through that. I would just point out that -- we look at reinsurance really as a source of capital. And so when Jesse is managing capital, whether that's we use preferred instead of common or we're using debt or any other source of capital reinsurance is just a way for us to get capital.
Jesse Edward Merten: Yes. Thanks for the question, Greg. I think -- so a couple of things. One reminder, as you pointed out, we do post a relatively robust supplement that everyone can go through to understand the program. I won't go through each and every detail, but what we did add was some scenarios so that you could understand better how the reinsurance programs all work together in the event that there's a catastrophe. As Tom said, though, the reinsurance program and what we ended up placing is always rooted in our economic capital framework and risk and return decision-making that allows us to mitigate risk on both a per event and aggregate basis. So if I take it to the highest level, and again, I won't go through all of the individual components, our total catastrophe reinsurance limit that we purchased this year across all programs was just over $11 billion. That's up $2 billion from last year, and we saw about a 10% risk-adjusted decrease in the cost. So that's a very good outcome. We got more coverage for less on a risk-adjusted basis. And we had really good support from both the reinsurance and catastrophe bond markets, and that demonstrates really the strength of our program. Our renewal placement process began just after the L.A. wildfires, literally while they were being extinguished, and we still had strong support from, again, both traditional reinsurers and the Cat bond partners that we work with to place the program. So we renewed during the most recent period, we did renew the Florida program, and we did add some aggregate limit on U.S. homeowners. And I think you probably saw that. We added $325 million of limit on an aggregate basis. So if you think of the overall program, we now have $825 million of Cat Ag limit that's placed. About $58 million, to be clear, has already been utilized for expected recoveries, but that leaves us with $767 million of remaining aggregate limit on top of our very robust per occurrence. So that's, I think, a high-level summary of what we did, the changes that we made, and really -- again, just going back to all of these, placements are done through a risk and return lens that we understand, as Tom noted, how are we effectively using this alternative capital source to lower our capital requirements and manage risk.
Operator: And our next question comes from the line of Rob Cox from Goldman Sachs.
Jack Kendall: This is Jack on for Rob. I guess I was looking at the strong exclusive growth that is kind of supporting the Auto PIF growth there. As you look at that strong exclusive agency growth kind of over the past 4 quarters, has that really been driven by either bundling, increased entrepreneurial efforts on the agents? Or are you seeing any shift in customer preferences toward maybe the In Force versus IA or Direct?
Mario Rizzo: Yes, Rob, this is Mario Rizzo. I'll jump in on that question. So just to give you some more context, again, with respect to our transformative growth strategy and the Allstate exclusive agent channel, we've been on a multi-year transformation journey with our agents where we're looking to drive an increased level of productivity in the agency channel and reduce distribution costs and really focus agents on delivering value that consumers want with a relationship with a local agent. And we've been really successful as we've executed on that strategy. We've segmented agents into different tiers depending on performance. We provide support depending on those tiers. We've made a number of changes to the compensation program over time, and we've been working on delivering tools to our agents that enable them to live into -- so what customers really value, as I said, with an agent relationship. The net result of that is when you look back over the last several years, we have fewer total agents, but our agents are as productive as they've ever been. And you see that once again this quarter with productivity increases up over 20%. And our agents continue to invest in their small businesses. And as we do things like invest more in marketing and roll out new products and deliver new technology, all the things we talked about with transformative growth, it's showing up as a more productive agency system and higher levels of new business, and we're going to continue to leverage those capabilities. Our objective function is to grow across all channels. We think there's certainly more opportunity just given the composition of our book in the direct and in the independent agent channels, but that doesn't mean we're going to deemphasize the Allstate agency channel. We're going to look to continue to grow the way that customers want us to grow in any way that they want to engage with us.
Jack Kendall: Got it. And then a quick question on the Canadian business. A peer of yours recently announced, it was exiting Canada, highlighting some verticalized distribution of top-market shareholders. Could you guys just provide us some insight on the performance of your Canadian business and any updates on kind of your long-term view of that market?
Thomas Joseph Wilson: We like Canada. We think we can win there. I can't speak for why people are doing what they're doing that's -- everyone's got their own idiosyncratic issues, but we expect to win in Canada.
Operator: And our next question comes from the line of David Motemaden from Evercore ISI.
David Kenneth Motemaden: The pace of monthly Auto PIF growth, if I just look at number of units added, that slowed a bit over the course of the second quarter, still positive, but it slowed a bit. I was wondering if you could just discuss some of the moving pieces there, seasonality, anything else that's impacting that? And how we should think about the cadence as we get into the back half of the year?
Thomas Joseph Wilson: David, I don't think we could -- I know we can't give you an answer on a monthly number that would give you confidence in how to make judgments for July, August, September or kind of stuff. I would go up a level and say, let's just look at transformative growth and is transformative growth working. Mario went through that. It has five components to it. We've five phases. We're clearly in the middle of Phase 4. And all the underlying assumptions we thought were true -- turned out to be true, and we're actually executing on them. Just because you say you're going to build a new tech ecosystem doesn't mean it's going to work. And just because you say you can improve the effectiveness and invest more in marketing doesn't mean it work. And we've proven and done all that. So we feel highly confident that the growth trajectory will keep going up. But I think looking at it by month, I don't think it's going to tell you much. Different things happen, different programs happen. We're rolling out different stuff, different states happen, people go on vacation -- it's just I would just be giving you anecdotal information, which wouldn't really help you forecast.
David Kenneth Motemaden: Got it. helpful. I appreciate that. And then just maybe for my follow-up, just on the inactive brands within the Auto business, could you just remind me when that process started of not writing new business and that drag -- I think inactive brands are a little under 5% of the PIF count now in Auto. I guess how much longer until we really start lapping those headwinds, just sort of level setting that.
Thomas Joseph Wilson: I'll let Mario talk about maybe the future. I mean, I don't think -- we're not going to do forecast by insurance policies and stuff because if we've got a customer, we'd like to keep the customer. We sometimes offer them alternatives inside the house. But I'll just go back to when we started transforming growth, it was a little over 5 years ago. One of the things we said was -- look, we're spending $200 million, $250 million a year on the Esurance brand to sell to direct customers. And we said, we -- and when we started that, GEICO was spending maybe, I don't know, maybe it was $750 million or $1 billion. So we had a chance to develop a second brand that would be for Direct. That was in 2011. Over time, they -- progressive kept driving up their spending. And so we get to 2019, and we're like -- you know what, like we could keep pouring money at Esurance, and we're never going to have the brand Allstate has. So let's get rid of the Esurance brand. Let's take that incremental money, let's throw it behind the Allstate brand. Let's sell Allstate brand Direct, which we had not done aggressively at that point. And let's sell it at a lower price than we sell to Allstate agents. So you can buy Allstate branded ASC product directly over the web at 7% to 8% cheaper than you would buy to an agent. And that's because when you buy it through an agent, you get the help of an agent. And if you get help, you should be prepared to pay for it. So that was the concept behind what we did. Encompass was slightly different. Encompass was we wanted to have a stronger platform in independent agent business. National General had that platform. It was built on nonstandard insurance, but it had a good tech platform. And so we went to nonstandard and we said, look, we're not as successful. We want to be in the IA channel. So we have to decide whether we're in or out with Encompass, we've decided to sell Encompass. There's only one -- difference is we want to buy you first, and then we're going to give Encompass to you and you're going to fold it into your business and drive growth. And that has been incredibly successful as well. So those were the -- that was the logic behind it. Mario, do you want to talk about sort of the just like the recent efforts that are going on.
Mario Rizzo: Yes. And maybe I'll break up on Esurance and Encompass separately because I think there's two different stories there. So we really -- over the last couple of years, have stopped selling new business in Esurance. And what you see as that brand runs off is natural attrition in policies, but also in a number of states, as Tom mentioned, we're looking to proactively offer Esurance customer is a different policy and sometimes that's effective, sometimes it's not. But that's really both contributing to what's happening in Esurance, and that will continue to run off over time. With Encompass, as we roll out the Custom360 product, which is now in 34 states, once that product is in market, we shut off the Encompass brand for new business. And we also shut off what I would call the legacy National General middle market brand so -- and only write Custom360. So again, once we're in a state with Custom360, it essentially becomes a renewal book that attrits over time. So that's the approach we're taking. And as those books get smaller, the impact should diminish.
Thomas Joseph Wilson: Yes. That's a really good point. If you look at the slide on the inactive brands and you look at homeowners, you'll see that impact on National General homeowners is down because specifically what Mario said, which is we got a much better product with Custom360. We're really good at homeowners. We know we can grow aggressively in that channel, but you see National General is down because we're doing that transition still.
Operator: And our next question comes from the line of Bob Jian Huang from Morgan Stanley.
Jian Huang: So maybe the first one on competitive environment. And this is something we kind of anecdotally addressed. But as you grow in this environment, it feels like more and more competitors are in that, call it, 80s and 90s combined ratio for personal auto. And then everyone is talking about pivoting to growth. Just curious how you think about just new business retention, ad spending efficiency as we head into this environment where more and more folks are ready to fight with you.
Thomas Joseph Wilson: Well, first, let me just -- I think the summary would be we think we're extremely well positioned to grow and earn attractive returns for shareholders, given what we've done with the business. So that's -- and obviously, we have some competitors who are tougher competitors than others, but we feel competent to be able to address all of those and win. So we say, well, why do you say that? Well, look at our distribution. We've got the broadest distribution, we can go direct, we can go independent agent and we can go Allstate agent. And as Mario talked about the productivity standard performance in those, we're feeling really good about the ability for those businesses to deliver. Why are they delivering? Well, because we have good prices, and we've got good new products. So they're not just out selling it because they like us, they're selling it because it makes sense for them. And so we've got -- that's improving customer value, whether that was reducing our expenses to make sure we could have more competitive prices and still maintain margins, as you point out, because we don't believe that just cutting price to grow makes sense. Now we have reduced prices in some states, and maybe Mario will want to talk about that, given where margins are. But we don't think that's going to take us to a place where we're writing bad business. We have high standards is how we did. The last piece I would leave you with is from an advertising standpoint, we've done quite well on that, and that's also fueling our growth.
Mario Rizzo: Yes. The only thing I'd add, Bob here -- well, just to close out the question, Bob, as we think about the growth investments we're making -- have been making and will be making going forward, we tend to focus a lot on the marketing investment because it is so important, but Tom mentioned rate adjustments. Now that we've been in market with the new Affordable, Simple, Connected product and with Custom360, we go back and continually refine prices as we get more data, and we've improved pricing in a number of states in those products. Those are investments that help drive growth, we continue to refine underwriting guidelines and standards as our profitability has improved. And again, those show up as investments in the business. And then we're doing a number of things on retention. I talked about during the prepared remarks, our SAFE program and how critically important retention is. We would expect, given that the book is well priced and margins are strong, less need for rate going forward, which will certainly help. But we're doing things proactively with both employees and the Allstate agents to proactively reach out to customers and improve retention. So we're really -- it's kind of a surround sound approach to drive growth going forward.
Jian Huang: Okay. My second question, it's a little bit more hypothetical. Earlier in the year, there were about 7 states that are considering increasing speed limit and then New York is one of those states. Obviously, you've talked about achieving profitability in New York State. Just curious about -- as we think about increasing speed limit in interstate highways from 65 to 70, will that have an impact on your frequency or severity, especially given that you just recently achieved profitability in New York -- like how should we think about that? Does that matter at all? Just kind of curious.
Thomas Joseph Wilson: Well, of course, the first thing we want to do is make sure your customers are safe. And so if the public sector decides they want to increase the speed limit for whatever reasons as it is, that's the way it happens. You obviously don't prospectively price and say because the speed limit went from 65 to 70, we're going to raise prices. I would just say I'm incredibly comfortable with the precision, with the data we have to be able to price accurately for every individual customer. That's where this is really heading, whether that's telematics, other data we have on people, it's really about giving the right price for each individual person. And we're well down that path. So whether it's -- it changes in the public sector and that, whether it's autonomous driving or whether it's increased competition, we're really good. And it doesn't mean any of it is going to get easier. We're not going to have these kind of issues. I would just say we're getting better all the time.
Operator: And our next question comes from the line of Mike Zaremski from BMO.
Michael David Zaremski: A question specifically on the direct-to-consumer strategy in personal lines. Do you expect that engine to be very different or much larger over time? I'm kind of thinking, kind of, on macro level. And if yes, would that lead to a higher advertising expense or -- a meaningfully higher advertising expense? Or just kind of -- I know you guys have explained like there's different funnels and terminology, I don't know as much, but it would be more of a shift in terms of the type of advertising spend?
Thomas Joseph Wilson: Good question, Mike. On Direct, it will be as big as many people want to buy from it. So I could say that like -- that's the way we're positioned. If you want to buy Direct from us or over the web, we got it. If you want to buy from an independent agent who represents multiple companies because you don't really know or trust insurance companies or you want to buy Direct from us through our agents because you want help, but you believe in the Allstate brand, we're there in all different ways. You see the -- I think it will grow as part of the book just because when you look at the new business. So it's 1/3 of new business, but it's less than 1/3 of the current policy. So over time, you would expect to see that shift as we grow overall market share. So I'm feeling fairly good about that. As it relates to advertising, I know a couple of people brought this up in their write-ups last night. So let me maybe go into advertising for a second because I think it's important. It's 1 of the 5 components of transform growth. So remember, one of them was increased sophistication and investment in customer acquisition. That's all about marketing. And we've done that. We've both increased our sophistication and we've increased our investment. I think there was a little bit of confusion when you looked at the numbers, was it down? Was it up? When you look for the first 6 months of this year, we're spending more money in marketing. And I can tell you that the economics of that spending are really good, and they're better than they were last year because we're more sophisticated and our brand consideration is higher. So we like that part of it. But it doesn't work just -- and your point, it's interesting because it doesn't just work with that. Two other parts of transformative growth are expand customer access, that's called distribution and improve customer value. So expand distribution, you see it in what we've got with 1/3 of the business coming through each of those 3 channels. So that's clearly working. So you do more advertising, it gets more directed. That Direct advertising also helps in the Allstate agent channel. And then improved customer value is really about their cost reductions we've taken, some of which show up in the Esurance and Encompass piece, but also what we've done with the new ASC product. So the marketing piece is working the other piece. And so when you look at the breadth of that, we feel highly confident that the overall total will grow, and it will grow the way customers want to buy. You want Allstate agent, we got that. You want to go through an independent agent, we're there for you. You want to buy Direct, and we'll take as much of the market we can get. And we still got about 90% of the market to go capture. So I'm not worried about tapping out in any of those.
Michael David Zaremski: Okay. That's helpful. My follow-up is on more home insurance specifically. Based on kind of data we continue to see, it looks like competitors, but mostly independent agency competitors are trying to play catch up to kind of your results and tweaking their terms and conditions, et cetera. I'm just -- I'm curious, do you -- are you -- do you agree that there's kind of the winds at your back because of the competitive environment more so than it has been historically as the industry is pivoting -- or is that statement kind of not true and the growth -- the healthy growth that you've seen over the last year, the acceleration has just kind of been due to other items?
Thomas Joseph Wilson: Let me make 3 overall comments and let Mario fill in the details. One, we are really, really good at homeowners. Two, I think the competitive environment has gotten -- people have gotten in and are trying to follow us. But three, we are getting better every day, and we don't expect our competitive advantage to diminish as we go forward, even though other people are doing some of the things that we did 5 or 7 years ago.
Mario Rizzo: Yes, Mike, the only thing I'd add is -- I think if you look back 12 to 18 months, there were -- there was less competition, I would say, in the homeowner market. I think the market has gotten a bit more competitive recently. But all the capabilities that Tom mentioned are the reason we never backed away from the homeowner market and stayed and we were able to take advantage of the competitive environment. And I think it's those same capabilities that position us to continue to be able to grow in homeowners and grow effectively. And when you look at the things that we're delivering to really build on the strength that we have in homeowners, our new Affordable, Simple and Connected homeowner product, which is in 16 states, is another step forward, I think, that differentiates our product pricing and underwriting capabilities relative to our competitors. It's a much more digitally focused product. Our product with a much better customer experience from a sales perspective. We're going to continue to leverage that going forward. And our distribution capabilities play in this space. Our Allstate agents are bundling at rates that are at all-time highs, around 80%. And you saw really good growth in the Direct channel, and we're going to continue to build on that growth. And we think we have additive growth opportunity in the independent agent channel with Custom360. So we love our capabilities in homeowners. We've been able to grow that business and grow it profitably over the long term, and we're going to continue to take advantage of those capabilities.
Thomas Joseph Wilson: So if you again go to the PIF numbers because I know you're all focused on PIF, even though growth comes in many forms call protection services, investment income and everything else. The overall PIF growth in homeowners is 2.3%, over 4% in the Allstate brand, which is what Mario was just talking about. We're getting smaller in National General and Encompass. And quite honestly, I'm fine with that because they weren't in good returns back to the lifetime value conversation. This is about increasing lifetime value, not just one measure called PIF. It's about driving overall shareholder value growth.
Operator: And our next question comes from the line of Alex Scott from Barclays.
Taylor Alexander Scott: I had a follow-up on retention. I just wanted to see if you could shed a little more light on what you're seeing across the channels. I'm just trying to understand, is it the exclusive agent network and retention associated with maybe more people going online there or something? Or is it maybe some churn in the direct-to-consumer and some of the policies you've grown into more recently. Maybe just have a quicker duration to them? I just want to better understand retention and just in light of it being a critical driver of PIF right now.
Mario Rizzo: Yes. Thanks, Alex. This is Mario. I'll give you a little color on retention. I think the headline on retention for us is really over the last couple of quarters, we've seen retention levels stabilize, but they're still down relative to where they were a year ago. And I think when you look at retention broadly, it's certainly going to vary by risk segment, by customers that shop more frequently and maybe shop direct-to-consumer versus those that use an exclusive agent or an independent agent. But I think the broader issue with retention is the issue of affordability in the industry. As the -- as we and the industry had to raise prices to combat what was just historically high levels of inflation, and I think what we've seen is more customers shop and more customers switch and defect from their current insurance carrier. And on the one hand, that creates tailwinds from a new business perspective because you got more people out there shopping, but it certainly creates challenges and opportunities, quite honestly, from our perspective to improve retention going forward. And as I said earlier, we're not sitting back and waiting for retention to get better. We're doing things proactively around reaching out to customers, making sure that they have all the potential discounts that are available to them that they have the right protection, the right product, the right coverage levels and limits and those kinds of things to make sure that we can offer them the most affordable price possible. That's really at the heart of the SAVE program. And then I think additive to that, as I mentioned earlier, just given where our margins are and the profitability of the book broadly, we would anticipate just needing less rate in the near term, which certainly causes less disruption in the book. But we're focused on leaning in and doing things proactively to change the trend line on retention. And when we're successful doing that, I think that will generate sustainable and profitable growth for us.
Taylor Alexander Scott: Got it. That's helpful. Second question I had is on California and the homeowners market there. Would just be interested if you could give us an update on how you're thinking about that market and maybe additionally, if there's any action that you feel will be necessary as some of those moratoriums kind of sunset and you're able to take action if you need to?
Thomas Joseph Wilson: Let me address homeowners availability, specifically Mario can talk about what we're doing in California. First, with increased severe weather and most of America's net worth tied up with their houses, it's really important that they have homeowners insurance, which is why you see availability being such an issue. And California, it doesn't work today, but it could. It works in Texas. Texas has the same number -- actually has more catastrophe losses, both in types and in gross dollars than does California. Yet it's got a homeowners market that's pretty functional, and we like it and other people like it. So it can work. You just need a system to do that. California is on a path to try to create a sustainable insurance. Whether they get all the way there or not will be dependent on what they do and what other companies do. Do you want to talk about California?
Mario Rizzo: Yes. The only thing I'd add, Alex, is in California, I think there's a recency here last week, Commissioner Lara and the department announced really the last component of the sustainable insurance strategy, which related to using wildfire models. They had previously come out with how they were thinking about recouping reinsurance costs. We think that's a constructive approach by the department and certainly a step forward relative to where we were before, which was -- you just couldn't recoup the cost of doing business in homeowners market in California. And that's one of the reasons that we stopped writing new business over a long period of time. We're reviewing the details of that release. And at some point, we'll make a sustainable insurance strategy filing with the department. Too early to kind of tell you which way we'll fall on that one. For now, it's the status quo. We're not writing new business in California. But we'll take a look at what the details are, and we'll do a filing and then we'll let you know what we decide.
Operator: And our next question comes from the line of Josh Shanker from Bank of America.
Joshua David Shanker: Sort of off the -- there's a huge surge in the number of policies in Allstate Roadside Assistance. I'm wondering, is that a solution for persistency if you could cross-sell them with the roadside assistance? Are the captive agents selling that more persistently around? What's happening there and why is it happening?
Thomas Joseph Wilson: So you're right, the more things you sell people, the more opportunity you have to make them happy. And the frequency of use of roadside is greater than the frequency of use of auto insurance, and so it makes people happy. [ Suren ], do you want to talk about what we're doing there?
Unidentified Company Representative: Yes. I think you hit it. We are also bundling roadside with auto policies that our agents sell. So that's one of the reasons also we are seeing an upsurge in number of policies that we are selling. So it's a good product, bundled with Auto. It has added value for our customers and -- which is really important.
Joshua David Shanker: Can you talk about your success rate on bundling right now broadly with maybe how the business was running 5 years ago? Is bundling more successful as a strategy right now? Or is it hard to get people to buy multiple items?
Thomas Joseph Wilson: I would say in total, Josh, we're -- Mario talked about the bundling at homeowners. [ Suren ] just talked about bundling there. We have -- we're doing much better. Our tech stack is much better to enable us to do that. But we think there's tremendous opportunity ahead of us, whether that's renters, we need to take a run at renters and do better at renters, boats, I could go down the list of other stuff that we have a great potential that previously, we had some operational barriers and technology barriers to doing it and with the new tech system, those have kind of gone away.
Operator: And our next question comes from the line of Hristian Getsov from Wells Fargo.
Hristian Getsov: How do you expect the drag on auto PIF growth from New York and New Jersey to be in the balance of the year? Because even if you reopen for new business in the second half, assuming you get the rate increases you currently have filed, I'm guessing you might see some retention headwinds to kind of offset that? Or are most of the retention issues in the past just given the large rate hikes over the last couple of quarters, and these are a little bit more muted?
Thomas Joseph Wilson: We're committed to growth in total. And we don't -- it wouldn't really help you much to give you a sort of what we think is going to happen in New York and New Jersey. We just look at the breadth of the new business, look at what we're doing in total, talk about the SAFE program. Our goal is to increase market share in personal property liability. We're already doing it in home. I just point that out, and we think Auto is coming.
Hristian Getsov: And then for my follow-up, in respect to tariffs, you've talked about a mid-single-digit impact to loss cost trends previously. Can you provide an update on your expectations given a few more changes in recent weeks? And can you potentially quantify what percent of your premium would be outside of your target profitability if we assume those increased costs materialize today? Because I'm just trying to get a sense of like what percent of your premiums you may receive a little bit more regulatory scrutiny for getting rate hike just given you're potentially running at a much better profitability versus the mid-90s for Auto?
Thomas Joseph Wilson: So I would just answer -- we're going to manage through whatever the impact of tariffs are, and we've managed through it profitably. We're not -- this is not -- we don't see this the same as the pandemic-related increase where used car prices went up 60% in 18 months. If, in fact, tariffs have an impact on the cost to either replace or repair parts, which we think is likely given all the trends that are going on, it's totally manageable. And we factored it into how we're running the business today. We factored it in the prospective stuff because we don't settle every claim today. It takes us sometimes 3, 4 months to get some cars fixed. So we're in good shape.
Operator: And our final question then for today comes from the line of Jing Li from KBW.
Unidentified Analyst: I have a follow-up question on retention, so -- also implemented the SAFE retention program. Can you add more details on maybe the impact of these initiations versus the natural improvement from smaller rate cuts?
Thomas Joseph Wilson: So the SAFE program is an enterprise-wide effort to improve customer interactions, $25 million in total, $10 million in personal property-liability price-related reductions more than 5%. So it's a highly -- some of the 25% is also obviously property liability. We've already achieved our $25 million goal, but we are slightly behind on the $10 million for that. So we're going to do better than the $25 million, and we still have a goal to get to $10 million.
Unidentified Analyst: Got it. My follow-up is on the Affordable, Simple and Connected Auto products. So now that you're available in 40 states and representing a significant expansion for the rollout. Can you provide some more details on the new business conversion rate or retention of these products versus the traditional products?
Thomas Joseph Wilson: We don't break out retention and new business. But I would just say, look, it's -- we started with Affordable, Simple and Connected because that's what customers want. We've made great progress on Affordable. This product is much better on Simple. We're able to really clean up the whole acquisition process. I think we still have some room to go on Connected. And so this is a journey, not an ending. We really like the new product. We like its close rates. We like its profitability. We like the customer satisfaction, but we don't break out to specifics. But rolling out a new Auto product across this company, as fast as we did is really a tremendous accomplishment, and we feel really good about the impact that will have on growth. Thank you very much for tuning in. We went a little long, but thank you for investing in Allstate and we'll talk to you next quarter.
Operator: Thank you. And thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.